Operator: Good afternoon. My name is John, and I will be your conference operator today. At this time, I would like to welcome everyone to Live Nation's Fourth Quarter and Full Year 2024 Earnings Call. I would now like to turn the call over to Ms. Yong. Thank you, Ms. Yong. You may begin your conference.
Amy Yong: Good afternoon, and welcome to the Live Nation full year and fourth quarter 2024 earnings conference call. Joining us today is our President and CEO, Michael Rapino and our President and CFO, Joe Berchtold. We would like to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements related to the company's anticipated financial performance, business prospects, and new developments in similar matters. Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the company's most recent filings on Forms 10-K, 10-Q, and 8-K for a description of risks and uncertainties that could impact the actual results. Live Nation will also refer to some non-GAAP measures on this call. In accordance with the SEC Regulation G, Live Nation has provided definitions of these measures and a full reconciliation to the most comparable GAAP measures in our earnings release. The release reconciliation can be found under the financial information section on Live Nation's website. With that, we will now take your questions. Operator?
Operator: [Operator Instructions] And the first question comes from the line of Stephen Laszczyk with Goldman Sachs.
Stephen Laszczyk: Hey, guys. Thanks for taking the questions. Maybe to start it off from Michael, on consumer demand, you guys have put a lot of stadium supply on the market over the last few months. I'm curious if you maybe could talk a little bit more about the demand trends you're seeing play out across the slate so far this year? Is there anything that you're seeing that makes you any more constructive or perhaps any more cautious on the demand front since we last caught up in November before a lot of the supply went on sale?
Michael Rapino: Thank you, Stephen. As you said, we've had a great start to the year. We've got a lot of inventory in the marketplace. We are seeing continued strong demand. We're seeing sell-through rates at the stadium level higher than any previous year. We look at one stat, the first week on sales, we're selling through over 75%. That's much higher than the last year. So, we're seeing consumers buying up those stadium dates faster than ever, up year-over-year or any comparable base. So, no slowdown at all. Lots of inventory, but equally great demand selling most of these stadiums out or close to being sold out by the time we get to the show dates.
Stephen Laszczyk: That's great. And then maybe a follow-up for Joe. Given that inventory that Michael spoke to on the stadium side this year and the mixed shift in that direction, I'm curious, Joe, if you could speak a little bit more about the puts and takes on concert segment margin or maybe how we should think about AOI growth this year, how does the mixed shift back towards stadiums in '25 impact that? And I'm curious as well that the visibility you feel like you have on the venue nation amphitheater side of the equation this year, now that factors into AOI growth for the segment.
Joe Berchtold: Yeah. Thanks, Stephen. I think that this year is going to be more like a 23-year as we look at how we're growing the business. With all this stadium volume leading the way, I'd expect to see some good revenue growth. I think Ticketmaster, first and foremost, will be a big beneficiary. I talked a lot about last year on the other side that it took 10 AMP shows to deliver the kind of revenue for Ticketmaster's one stadium show. Now we have all those stadium shows, so I think you'll really see that benefiting on the Ticketmaster side. I think that we continue to have a sponsorship business that's performing extremely well. We note here 75% sold, up double-digits, so you expect that to continue to deliver some ongoing strong growth. Then on the concert side, all these shows, all these stadium shows, we're absolutely making money on attractive returns. We just don't get to count the beer money and the parking money as we do with our own venues. So I think it will ultimately come down to the pace of revenue growth versus the pace of AOI growth, which we don't know yet because we haven't gotten into the AMP season. So the latter part of your question on how much growth do we get on our per caps at our AMPs, at our festivals, theaters, and clubs over the course of the year, all of that will just help determine the exact balance of revenue growth versus AOI growth there. But we expect to see all of all the businesses performing well this year, and as Michael said, in aggregate, continuing to deliver double digit AOI growth for the business.
Operator: And the next question comes from the line of Brandon Ross with LightShed Partners.
Brandon Ross : Hi, guys. Thanks for taking the questions. Something that stood out in the release to me was that Ticketmaster transacted ticket volume, you said was up only 3%, and then the event related deferred at 11%. I thought that would have been much higher given the pipeline and, frankly, the answer that you gave to Stephen's last question. Can you guys explain the -- disconnect for me?
Joe Berchtold: Sure. Let me take the two different pieces because I think they're slightly different in terms of what's going on. So Ticketmaster transacted volume, as you noted, is up 3%, while our concert tickets are up 10%. So if you look at the numbers, our concert tickets are up around 6 million. The TM transacted tickets, which is everything at the high end of all of our tickets to at the lower end, family shows and other lower-priced things, up 3%, but off of roughly almost double the base. So what you have is, at this point of the year, strong growth in the Live Nation concerts that Ticketmaster has been selling. You have a bit less activity in some of the other, whether they're promoters or some of the other activity in the Ticketmaster buildings. But we're still very early in the Ticketmaster scheme. It's about 100 million tickets, and we ended up the year, last year, at about 330 million tickets. We expect to see growth off of that. So we're at a pretty early point for the Ticketmaster volume as opposed to somewhat further along on the Live Nation side. So I think it's a bit early to read too much into that number. Then in terms of the deferred, I think the on-sale timing this year was slightly different than what we saw last year. This year, because we had such a strong stadium lineup, that really owned the fourth quarter in terms of the majority of the on-sales. So that drove growth. But we didn't have as early of on-sales on the arenas and the amphitheaters as we had last year. Last year, because we didn't have the stadium volume in the end of '23, we saw some earlier on-sales on the arena and amphitheater side. So that's in effect why you got at the double-digit level of deferred growth at that point.
Brandon Ross : Great. And then, Michael, you talked a lot about the strong demand for stadium shows, in answering Stephen's question. But just optically, I look at some of these shows and I see a lot of high-priced tickets still on-sale for high-profile shows. Do you think ticket pricing is getting ahead of itself, or is there some other explanation for that? And how should we expect apples to apples ticket prices to grow this year? So, stadium versus stadium.
Michael Rapino: Yeah, I think you're seeing, the artists in general, every cycle is a little more educated on what's the best way to price my ticket, how do I keep it accessible to my fans, but make sure scalpers don't run away with the front of the house. So, we love seeing these stadiums sitting somewhere around 95% sold out right now. The instantly sold out at 10 a.m., means we've transferred a lot of wealth to the scalpers. If you see any of those tickets, any tickets you're talking about are going to be the high-end tickets sitting on the market. Those will flush out between now and show date. So, we think these artists on their stadium pricing are priced at almost perfection, where strong, strong demand. They also added more venues, which we love. So, they're helping consumers get to more shows at a good price, but also making sure that that's priced closer to market, which means you'll have a few high-end tickets sit around the rim until we get closer to show date. So, that's the perfect on-sale and land the plane on show date model.
Brandon Ross: So, would it be silly to partially think about it as you're taking away from secondary ticketers or ticket platforms and that's moving more to primary now?
Michael Rapino: Yes, for sure. I think the artists over years, we've been saying this for years, every tour is looking at that P1 and making sure that if their fans are going to buy it, they would rather buy it from them direct on show date than two days later from a secondary site, hours included. So, yes, artists are going to figure out how to keep pricing the P1s a little more aggressively, price the bottom, back into the house slower, so we've got a great sell-through. Those artists you're talking about, any inventory you see, we could sell that out in a minute if we drop the price, right? So, finding that right combination where you're making sure demand and supply kind of March along on the way to the show date versus the 10 a.m. buyer sale.
Operator: And the next question comes from the line of Cameron Mansson-Perrone with Morgan Stanley.
Cameron Mansson-Perrone : First, I just want to say thoughts go out to you guys and everyone in the LA office after everything that's happened this year. Pretty tough. Hope everyone's hanging in as well as can be expected. But, Michael, one high-level question for you. As we frame the opportunity you've laid out for sustained double-digit AOI growth over the next few years, I'd love to hear your thoughts on whether you expect the drivers of that performance to evolve over that time frame or whether it's really just down to executing against a similar playbook as what supported the growth that you delivered here in 2024. And then one for Joe. On the outlook for $900 million CapEx in '25, another big increase similar to what we saw in '24, what would you say investors should take away from the decision to ramp that so healthily in terms of the ROI you're seeing from that spend so far? Any help with framing the timing from kind of investment outflow to the returns showing up on the P&L will be helpful.
Michael Rapino: I'll go back to your first question, if I can remember it. But yeah, listen, we've been, we love consistency over here. So if you've been following our stock, and you've been to our investor days, the last few years, we don't --we haven't deviated really from what we think our thesis of why the industry is a great industry. On a global basis, we think live has a real global unlock, and will be a high single double-digit kind of industry for the next decade, as we saw our Coldplay show in India, sell out largest single concert in history, 125,000 people, we saw those dates sell out instantly. So we've been talking a lot about the globalization of the consumer, supply demand of the globalization, untapped markets to grow still. So our model is the same. We're 100 offices in about 40 countries, keep growing those offices, growing our market share in those underdeveloped markets. And we will continue to follow that global trend of more consumers wanting to go to shows from Pittsburgh to the Philippines. So we think the industry is growing, we tend to grow better than the industry and be able to capture the revenue from our consumers walking in the door.
Joe Berchtold: And Cameron, I think, in some regards, your second question is the same as your first question, right? Which is, if our thesis is, is we're going to grow to 200 million fans is the next step and the different levers we have, and venue side is a key piece of it, then certainly our capital deployment is going to mirror the delivery of that AOI growth. So I think we should take from the fact that we're increasing our capital spend is we're continuing to see a lot of opportunities that have very attractive returns globally. Again, heavily focused internationally on the arena level, globally focused on these large theaters, both types of venues that cannot just deliver attractive returns, but also move some reasonable volume of fans, expand our shows, grow the market. So that's the biggest takeaway I take from that. In terms of the timing, these projects are all different in terms of how long they take from shoveling the dirt through growing it out. What we're trying to do, and we gave you some pieces here is some understanding of when or what venues opening to how many millions of fans to give you some guide for how we're seeing the impact roll-in.
Operator: And the next question comes from the line of David Karnovsky with JPMorgan.
David Karnovsky: Hi, thank you. So just wondering, music labels and DSPs have recently come to agreements that may allow for super premium tiers. And wondering if you thought of potentially about the role of live music within some of these offerings, maybe it was something like ticket access, is there inventory that could be made available and could this be a potential sponsor opportunity?
Michael Rapino: Yeah, thanks, David. Yeah, we currently -- our job is to use that inventory that we've acquired from the artist and maximize it through sponsorship currently. And we have a lot of pre-sale programs in place with, you've seen them all, Verizon's and Citibank's, et cetera. So, our job is always to look at that show, work with the artist and figure out, is there ways to maximize that inventory to business, as well as consumers. As far as the latest rounds of Spotify and Apple and Amazon, they've approached us all, we've talked to them all about ideas if they wanted inventory. There's a cost to that and we would entertain and look at that option if it made sense for us in comparison to other options we have for that pre-sale, which is a very valuable asset. The artists themselves tend to do their own deals. We do deals for the artists, but ultimately the artist has control of it and that artist's job is to maximize the revenue from it. They're not giving that away to anyone for free. So whether we partnered with them and found sponsors or we paid for it, it's valuable. And it wouldn't surprise me, of course, the labels or the distributors if they're trying to add a $5 premium to a monthly subscription and they don't have enough of their own inventory in terms of music or free songs. It's always the easy go-to, let's give them pre-sale access. The hard part about pre-sale is just scaling it. Everybody wants Beyonce pre-sale and that's hard to scale. So we've been working with all three of them, trying to find a model that may work for us and them and soon they're talking to others also.
David Karnovsky: And then maybe just separate, the DOJ antitrust nominee recently indicated some openness to settlements where effective remedies can be put into place. Just wondering what room you see to advance discussions with the agency or relative to the prior administration. And then just separate to this, are there any updates you can give on just the trial in terms of timing or notable dates to be aware of?
Joe Berchtold: Yeah, this is Joe. The trial process continues to move apace as it has targeting early next year for a trial date. So question is, is over the course of this year can? Is there a path towards a resolution with the DOJ that doesn't lead to the trial? We've said in the last administration, there was really no interest in any discussion on settlement. So we're hoping that this DOJ returns to a more traditional approach and is open because they don't own it in the same way to those discussions. But we haven't had any discussions yet. The person that you would discuss it with has not been approved yet, not been appointed. So until that happens, there's nothing we can do. And we'll see how that plays out in the coming months, but nothing really substantively new.
Operator: And the next question comes from the line of Peter Supino with Wolfe Research.
Peter Supino: Hi, everybody. A question on Venue Nation Capital. I'm wondering if the 2025 budget, which I think you detailed as being $200 million or $300 million greater than 2024, is showing any change in the mix of U.S. versus international? And then a parallel question on the large arenas for the 15,000 to 20,000 seat segment. I'm wondering if those opportunities are coming any faster or slower than you imagined and whether your appetite to invest in that particular segment has shifted at all. Thank you.
Michael Rapino: I think we'll see. I was just going to jump on a second. The large opportunities on an international basis are coming consistently ongoing. So continues to see that ramp up. We tend to be the first, second phone call if you're a developer thinking about building or have land and want to use that land or have a venue you want to sell. So we see that pipeline growing and our appetite still remains very large to expand in that platform.
Joe Berchtold: And just on that same thread, Michael, just answer the first question too, which is, I think that in general, you'll see a trend towards more of the capital being deployed internationally because of the attractiveness and volume of those arena opportunities.
Operator: And the next question comes from the line of Peter Henderson with Bank of America.
Peter Henderson: So just wondering, I mean, there's been some concerns over the softness of U.S. consumer, particularly in the low end recently. It doesn't sound like you guys are experiencing any of that. But coming back to sort of Brandon's question as well, are you seeing any trade downs from more affluent cohorts? And what are you seeing sort of from the more value conscious consumer? And just related to that, I'm wondering, you recently announced that there will not be a long past program in '25. And I'm wondering if you give any color on sort of the size of that and why the decision was made to end that program and what other programs you're considering?
Michael Rapino: Yeah, I mean, overall, the demand we're seeing for the concert and I assume, the NFL has got the similar answer. We're seeing no pullback. It's still on a global basis. We're seeing strong demand. We're seeing it in a small to big. So, yes, Beyonce's are always going to have incredible demand. But if you look at my club business, we're going to do 30,000 club shows last in a year. Our club business is up 17% a year-over-year. So that's kind of the simplest way to say, bottom end on a Tuesday in Indianapolis, my business is doing better. Consumers are coming to the club to see the young bands. So we're seeing our festivals, which are on sale already. They're selling at record levels. So I'm seeing no pullback in any festivals from EDM to our country festival. As we always say, someone will write about one that gets canceled or a dog here and there. But generally, overall, Macaulay, our festival business globally is stronger than ever. Our club and theater business is stronger than ever. And obviously our stadium business is on fire. So whether it's geographical, whether it's venue type or whether it's festival, we're still seeing strong, strong consumer across the board in terms of buying tickets for the '25 season. As far as the long past, so very small program. And we put some new leadership in charge of venues this year. We expanded Jordan Zachary's role and put some new thinking around how do we sell the summer amphitheater? I think our belief was we were discounting too much too early with some of the programs we had. So was to pull back and relaunch, which we always do. Our annual Concert Week is kind of our big if you want to call that our Amazon Prime Day. Our Concert Week, later in the summer or earlier in the spring, beginning of the summer. That's kind of our big, big deal where we sell all of our volume that matters. So we're going to just consolidate around that bigger idea. And we're going to eliminate some of the smaller programs that we're selling, small, small volume of tickets overall.
Operator: And the next question comes from the line of Jason Bazinet with Citibank.
Jason Bazinet : I'm a big fan of the CapEx you're spending, so don't take this the wrong way. It's just a clarifying question. When I look historically, then your nation, you'd own, I don't know, less than 10% of the venues most released or operated or whatever. Is this CapEx really moving more overtly into outright ownership of these arenas? Is that what we're talking about? Or is it spending CapEx and then having the right to lease it at a lower rate or operate it?
Joe Berchtold: A chunk of it is absolutely owning it. Every situation is different, but we're following your advice and trying to own more. Go upstream. So if we're in a situation where we can own it, dirt on up, we do. Sometimes we can't own the dirt. We'll own the building, can't own the building. We'll do as much of the capital build out and minimize our lease. So you don't always have exactly what you want, but we're absolutely pushing it further upstream, if you will.
Operator: And the final question comes from the line of Kutgun Maral with Evercore ISI.
Kutgun Maral: Another one on Venue Nation, you provided a lot of great color at the Investor Day on the mid-term outlook. I know the impacts to the model gets a bit tricky because, as Joe mentioned, timelines vary greatly depending on how the shovel-to-dirt to growing the venue out process looks like. But it's an area where we get a lot of questions on. So I was hoping you could help us think about what the AOI impacts of Venue Nation maybe was in 2024 and a little bit more specifics around how you see that evolving in 2025, just given the growing venue base there?
Joe Berchtold: Yeah, we haven't really tried to break it out for you guys as a segment. First of all, part of it or a good chunk of it obviously comes from the sponsorship side. We've talked that two-thirds of sponsorship is venue-driven. So you've got a component over there. Then you've got the operating component, which is heavily driven by your beer and by your parking and so on. So we haven't really tried to fully model it and break it out that way for you, unfortunately. We try to use what we present at Liberty is the overall guideposts over a midterm basis, as you said, to then try to back in and say, how are these pieces potentially going to roll out, how do they maintain the sort of growth profile over the next several years, and am I comfortable they're going to be able to do it? But we're not really in a place that we're going to break out and give you the stand-alone Venue Nation business model.
Operator: And I'd like to pass the floor back over to Michael Rapino for any closing remarks.
Michael Rapino: Thank you, everybody. Look forward to talking about Q1 in May.
Operator: Ladies and gentlemen, that does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time.